Operator: Good day and welcome to the Pyxis Tankers Conference Call to discuss the Financial Results for the Fourth Quarter 2021. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers' website, which is www.pyxistankers.com. Hosting the call is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers, and Mr. Henry Williams, Chief Financial Officer of the company. I would like to pass the floor to one of your speakers today, Mr. Eddie Valentis. Please go ahead, sir.
Eddie Valentis : Good afternoon, everyone, and thank you for joining our call for results of the three months and fiscal year ended December 31, 2021. As we all know, the difficulties caused by COVID-19, especially the recent Omicron variant has been displaced by the unfolding events of the Russian invasion of the Ukraine. Expanding global distribution of vaccines and improving healthcare management has led to an effective response to Omicron, especially in the Western Hemisphere.  However, recent geopolitical events have set off a shock to the global energy market and resetting personal and economic priorities as well as global relationships, especially here in Europe. The ability to effectively manage through these uncertain times is critical. So stay safe and strong, as we all strive to overcome these challenges in the pursuit of a more normal way of life.  Before starting, please let me draw your attention to some important legal notifications on Slide 2, but we recommend you read, including our presentation today, which will include forward-looking statements. Thank you.  Turning to Slide 3. Our most recent quarterly results primarily reflected the impact of one additional MR in the context of a poor chartering environment. In the 3 months period ended December 31, 2021, we generated time charter equivalent revenues of $3.9 million, up 9% from the same period in 2020, primarily due to the addition of the Pyxis Karteria, which we acquired last summer. Also, fleet-wide utilization was better, but medium-range tanker MR charter rates were dramatically lower. We had a net loss of $5.6 million in Q4 2021, which was significantly higher than the same period in the prior year due to higher costs and the $2.4 million noncash loss on sale of the 2 small tankers, which were noncore assets. Our loss of $0.14 per common share reflected an increased share count of 17.1 million for the most recent period. Our adjusted EBITDA for the period ended December 31, 2021, was a negative $700,000. Over the course of the fourth quarter 2021, the product tanker chartering environment initially experienced an improvement, which was subsequently delayed by the impact of Omicron that temporarily reduced mobility and demand from transportation fuels. Our operating results for Q4 2021 primarily reflected poor results for our MRs that we're trading in the spot market and lower time charter rates. The average daily time charter equivalent for our MRs was approximately $8,700, dramatically lower than in the same period last year. However, as Omicron has upsided in the Western Hemisphere, higher spot rates have occurred as the year progressed, especially very recently with the outbreak of Russian-Ukrainian hostilities. For example, as of March 16, 83% of our available days in Q1 2022 for our MRs were booked at a time charter equivalent of over $14,800 per day. While we're encouraged by improving economic activities and greater mobility in many parts of the world, especially in the United States, we are concerned about potential slowdowns in Europe and China. Reportedly, global inventories of many refined petroleum products are below 5-year averages, with prices at or near record levels. Estimates for GDP growth are likely to be revised downward this year. Given the current environment, demand for product tankers has become volatile and unpredictable. However, the supply outlook for product tankers continues to look very promising based on very low new vessel ordering and the record levels of scrapping. Through various actions over the last 2 years, we have developed a better platform, strategically, operationally and financially. During this period, the chartering market was very challenging, but we successfully raised over $36 million in equity capital, $75 million of lower cost long-lived bank debt, renewed the fleet by selling 3 older vessels and acquiring 2 eco-efficient MRs as well as completing 4 special surveys. With a modern fleet of 5 Eco-MRs, we are now better positioned for the long term, which should hopefully include the sustainable recovery in charter rates. Let us now turn to Slide 4 for information on our existing fleet and employment activities. As you can see, we continue to use a mixed chartering strategy of short time and spot charters, which should position us for better chartering markets ahead. We continue to focus on diversification by charter counterparty and duration. Next, please turn to Slide 6 for a further update on the product tanker market. In addition to my prior comments about the market, it is abundantly clear that higher vaccination rates, especially in the developed countries, have led the economic recovery. However, certain countries, such as China, are experiencing prolonged battles with COVID. Many of us are feeling the challenges from higher inflation and supply chain bottlenecks. Moreover, we are now experiencing the consequences from hostilities in the Ukraine. Tight inventories of oil and refined products have only accentuated those challenges and increased uncertainty. These conditions have recently led to a material improvement in spot charter rates in the product tanker sector and increasing ton-mile activity. But at this point, limited availability of cargoes may impact the period of higher charter rates and increased volatility. Please turn to Slide 7. Increasing oil demand and production, combined with high refinery throughput, are positive signs. The outlook for 2022 global growth is likely to be revised downwards due to the situation in Eastern Europe as well as higher inflation and continued supply chain disruptions. Consequently, demand growth for refined products may be lower, which could soften charter activity. But restocking of global inventories as additional supplies become available, combined with fundamental demand, should support the chartering market. The rollback of previous OpEx class cuts could add 6.2 million incremental barrels of oil in 2022 and more refined products. Recently, a leading research firm estimated growth in seaborne trade of refined products at 6% this year at almost 1.1 billion tons. Moving to Slide 8. Over the longer term, we expect demand for the product banking sector to be supported by refinery additions led by the Middle East and Asia. Drewry estimated that over 4.9 million barrels per day of new refinery capacity is scheduled to come online between 2022 and 2026, virtually all of which is outside the OECD. Shutdowns, mostly in the OECD should result in greater importing of refined products into these mature large markets and ton-mile expansion. Of course, unforeseen events like the recent price spikes for products and shortages in various locations could create temporary opportunities in the spot market. The bar chart on Slide 9 presents the planned refinery additions by region through 2026. Let's move on to Slide 10. The product tanker supply picture is much clearer as the outlook for MR2s continues to look very promising. The MR2 order book is drifting lower and recently Drewry estimated overall order book at 7.4% of a worldwide fleet of 1,615 vessels. New ordering has been subdued as 35 MRs were last year and only 2 in the first 2 months of 2022. 61 MRs are scheduled for delivery this year and 46 scheduled for 2023. Moreover, due to the recent surge in ordering of new containerships and dry bulk vessels, many Asian yards don't have available construction slots for deliveries until early 2024. And owners' decision-making process for tanker new ordering is further complicated by ongoing developments in ship and engine designs, stricter environmental regulations, rapidly escalating shipbuilding costs and evolving and still unclear selection and availability of lower carbon fuels and the lingering debate surrounding scrubbers. Demolitions are continuing at a brisk pace as 33 MRs were scrapped last year and already 7 in the first 2 months of 2022. The rapid increase is a function of peak scrap metal prices and financial headwinds facing the operation overall the less efficient vessels due to new environmental regulations, greater maintenance, higher bunker fuel consumption and lower charter income. Given these considerations and the fact that 7.2% of the global fleet of MRs is 20 years of age or older, as shown on Slide 11, we expect that this trend to continue. Consequently, we believe annual net fleet growth for MRs should be around 2% this year and next. Turning to Slide 12. Despite challenging chartering conditions, second-hand MR2 prices, especially for modern eco vessels, have picked up. Newbuild prices are now approximately $41 million with delivery in 2 years. Stronger asset values are typically a harbinger for greater earnings power. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams : Thanks, Eddie. Let's focus on our unaudited results for the 3 months ended December 31, 2021 on Slide 14. Our time charter equivalent revenues for Q4 of 2021, which we define as revenues net minus voyage-related costs and commissions, were $3.9 million, an increase of 9% from the same period in 2020, primarily due to 139 more operating days as we added 1 MR and experienced greater fleet utilization. Nevertheless, we suffered low charter rates, especially for our MRs that were employed in the spot market. In the fourth quarter of '21, our fleet-wide daily TCE was approximately $8,000, was significantly lower than the comparable 2020 period.  Moving to Slide 15. We incurred a net loss to common shareholders of $5.7 million for the 3 months ended December 31, 2021, or $0.14 basic and diluted loss per share based on 38.9 million weighted average shares outstanding compared to a lower net loss of $2.7 million or $0.12 basic and diluted loss per share based upon 17.1 million pure shares. Besides lower TCE revenues, the most recent quarterly results were negatively impacted by increases in vessel operating expenses and other costs including the effects of COVID on accruing expenses as well as $2.4 million noncash loss on the sale of the small tankers. Adjusted EBITDA declined to a negative $700,000 in Q4 of '21. Now, turning to Slide 16, which reviews our recent fleet data by vessel type. Simply, the key takeaway for our MRs in Q4 of '21 was tough chartering conditions in the spot market. Please turn to Slide 17 to review our capitalization at December 31, 2021. At quarter close, our consolidated leverage ratio of net funded debt stood at approximately 55% of total capitalization. During the year, we completed a number of debt and equity financings. Our weighted average interest rate was 4.2% for the most recent quarter and the next bank loan maturity is July of 2025. Our interest rate caps cover 28% of the current outstanding LIBOR-based bank debt. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis : Thanks, Henry. While we navigate through unchartered waters, we continue to be positive on the longer-term supply-demand fundamentals for the product tanker sector. Right now, there seems to be interesting opportunities in the spot market, which we hope to take advantage of. Our fleet of 5 Eco-MRs, mixed chartering strategy and experienced management team, should help us achieve a balance of risk and return in the rising market.  We appreciate your interest, and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe, be well.
Operator: